Operator: Good day everyone. And welcome to the Fourth Quarter 2021 HP Inc., Earnings Conference Call. My name is Gary and I will be your conference moderator for today’s call. At this time all participants will be in a listen-only mode. [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Orit Keinan-Nahon, Head of Investor Relations. Please go ahead.
Orit Keinan-Nahon: Good afternoon, everyone, and welcome to HP's Fourth Quarter 2021 Earnings Conference Call. With me today are Enrique Lores, HP's President and Chief Executive Officer, and Marie Myers, HP's Chief Financial Officer. Before handing the call over to Enrique, let me remind you that this call is being webcast. A replay of this webcast will be made available on our website shortly after the call for approximately 1 year. We posted the earnings release and the accompanying slide presentation on our Investor Relations webpage at investor.hp.com. As always, elements of this presentation are forward-looking and are based on our best view of the world and our businesses as we see them today. For more detailed information, please see disclaimers in the earnings materials related to forward-looking statements that involve risks, uncertainties, and assumptions. For a discussion of some of these risks, uncertainties, and assumptions, please refer to HP's SEC reports, including our most recent Form 10-K. HP assumes no obligation and does not intend to update any such forward-looking statements. We also note that the financial information discussed on this call reflects estimates based on information available now and could differ materially from the amounts ultimately reported in HP's Form 10-K for the fiscal quarter ended October 31, 2021, and HP's other SEC filings. During this webcast, unless otherwise specifically noted, all comparisons are year-over-year comparisons with the corresponding year-ago period. For financial information that has been expressed on a non-GAAP basis, we've included reconciliations to the comparable GAAP information. Please refer to the tables and slide presentation accompanying today's earnings release for those reconciliations. With that, I'd now like to turn the call over to Enrique.
Enrique Lores: Thanks, Orit. And thank you all for joining today's call. At our Securities Analyst Meeting last month, we shared our plans to continue building a stronger HP, one that delivers sustained revenue, operating profit, EPS, and free cash flow growth. This quarter results reflect our continued momentum against these plans, and they give us great confidence in our future. Let me talk through the details. In Q4 revenue grew 9% to $16.7 billion, non-GAAP EPS grew 52% to $0.94. And we generated more than $900 million of free cash flow while returning $2 billion to shareholders through share repurchases and dividends. Our Q4 results are a great finish to an exceptional year. For the full year, we grew revenue 12% to $63.5 billion and generated $1.7 billion of incremental non-GAAP operating profit. Non-GAAP EPS grew 66%. This means that we exceeded our value creation plan target for non-GAAP operating profit and EPS a full year ahead of plan and we return a record $7.2 billion to shareholders while continuing to invest in strategic growth opportunities across the business. Our Q4 and full year performance shows our company on a strong foot and hitting its stride. Long-term secular trends such as hybrid play for our competitive thing. Our leadership across our markets and the innovation agenda we are diving are enabling us to turn these trends into tailwinds. We are making organic and inorganic investments to drive profitable growth. We are accelerating our transformation, building new digital capabilities, while also reducing structural costs and driving efficiencies. The progress we are making against our priorities is creating a more growth-oriented portfolio. At our Analyst Day, I shared that we expect our five key growth areas to grow double-digit and generate over $10 billion in revenue in fiscal '22. These businesses collectively grew 12% this quarter. This includes more than 30% growth for our Instant Ink business, as well as more than 20% growth for our industrial graphics portfolio. We see our key growth areas becoming a bigger part of overall revenue and profit mix moving forward. We are driving this growth even as we continue to navigate a complex and dynamic operational environment that includes robust demand and persistent supply constraints. The actions we have been taking to mitigate industry wide headwinds are paying off. There is no quick fix. But we are strengthening our operational execution and making continued progress quarter-by-quarter. And I just want to say how proud I am of the way our teams are stepping up. It has not been easy. But the challenges we have faced have not deterred from driving our business forward. And the fact that we delivered double-digit revenue and profit growth for the year gives us confidence that we enter 2022. Let me now talk about the strength we see across each of our business units. In personnel systems, there continues to be very strong demand. PS revenue and operating profit, each grew double-digit in Q4. And our disciplined execution and pricing strategy allowed us to effectively manage costs and components headwinds. A big part of our success is the improved mix we are driving given our leadership in the commercial PC market. As more offices reopen, we lead our shift toward Windows based commercial products where we saw their strongest demand and highest profitability. We continue to see a significantly elevated order backlog. As I shared last month, we expect component shortages, particularly in ICs to persist into at least the first half of '22. The operational actions we outlined in our Q3 call are generating positive results. We continue to increase our direct engagement with tier two and tier three suppliers. We have expanded long-term agreements to secure capacity. And our digital transformation initiatives are enabling greater real-time visibility to optimize our speed, agility and mix. This work remains a daily priority and we expect our trajectory to continue to improve. We're also creating important innovation that we design for all things hybrid. This includes a new lineup of Windows 11 devices that enable premium computing experiences for work and home. We are also expanding into valuable adjacencies. Last quarter, we introduced HP Presence, the world's most advanced video conferencing system. This is a large opportunity that will continue to grow as our digital and physical worlds converge. Seven out of 10 companies are already investing in technologies that improve hybrid work experience for their employees. HP Presence combined our hardware, software, imaging and peripheral capabilities to create a more immersive experience so that distributed teams can truly feel they are in the same room even if they are not. You will see us continuing to innovate and expand our presence in the growing hybrid collaboration space. We also delivered another quarter of double-digit device as a service revenue growth. This included the launch of new digital services to help commercial customers simplify the complexity of hybrid IT environments. And following the close of our Teradici acquisition, we learned a lineup of new Z by HP, Teradici and Nvidia Omniverse subscription offers to enable high performance remote collaboration. Turning to print, we grew revenue 1% in the quarter. This was primarily driven by our disciplined pricing strategy, as well as our continued growth in services and subscriptions, which offset expected volume declines driven by limited supply. Like others in the industry, we continue to operate in a supply constrained environment driven by COVID-related disruptions and broader logistics issues. Against this backdrop, demand for our prints hardware and supplies remained strong. The fact is, we had more hardware orders that we could fulfill in the quarter. And we said last month, we expect this to impact print growth in fiscal year '22. But this is not stopping us from advancing our strategic priorities. We continue to grow our HP plus portfolio globally, including a rollout to our Envy 7000 series that is designed for families working, learning and creating new memories from home. Importantly, it is built with sustainability in mind and made from over 45% recycled plastic content. We will also grow in our digital services to enable high-risk office printing. A great example is this quarter's launch of HP Managed Print Flex, a new cloud first MPS subscription plan for hybrid work environment. In Q4, we drove double-digit growth of MPS revenue and total contract value. And they support our Workforce Solutions momentum. We are increasingly integrating our offerings across print and personal systems to meet new customer needs and unlock new growth opportunities. Our recently launched HP Work from Home Service is a great example of how we are leveraging our diverse portfolio to win in the hybrid office. As I mentioned earlier, we are also driving industrial graphics and 3D printing growth. In industrial graphics, we drove double-digit revenue growth in the quarter and have built a healthy backlog of industrial presence. This continues the positive recovery trends from prior quarters. We also continue to see a mix shift towards more productive industrial presence with significant growth in labels and packaging. And in 3D, our focus on high value end-to-end application is paving the way for entirely new growth businesses. Our molded fiber, footwear and products initiatives are on track. Our progress against our strategic priorities is also driving strong cash flow. And we continue to be disciplined stewards of capital. We have a robust return-based approach that we are applying to every aspect of our capital allocation. We will continue to invest in areas where we see growth opportunities while continuing to return capital to our shareholders. We believe our shares remains undervalued and we are committed to aggressive repurchase levels of at least $4 billion in fiscal year ‘22. We also expect M&A will continue to play an important role. Specifically, we plan to pursue deals that accelerate our strategies and drive profitable growth. And we are making ongoing progress against our sustainable impact agenda. ESG is a driver of long-term value creation for all stakeholders. And we continue to pursue an ambitious agenda. The latest example is our expanded partnership with World Wildlife Fund. We are working to restore, protect and improve the management of nearly 1 million acres of forest landscapes. This supports our focus on making every page printed forest positive. To sum up, our portfolio is innovative and resilient. Our strategy is driving sustained revenues, operating profits, EPS, and free cash flow growth. We are returning, highly attractive levels of capital to shareholders. And we are confident in the fiscal year '22 guidance that we shared at our Analyst Day. We are entering the New Year from a position of great strength. And I look forward to continuing to share our progress. Let me now turn the call over to Marie, who will take you through the details of the quarter and our fiscal Q1 outlook. Marie, over to you.
Marie Myers: Thanks, Enrique. And hello, everyone. It's good to be back together. And it was great to connect with so many of you following your Analyst Day. I want to start by building on something Enrique said a moment ago. Q4 was a strong finish to a very strong year. It builds on our proven track record of meeting or exceeding the goals we set. And it underscores our confidence in our FY '22 and long-term financial outlook. Let me begin by providing some additional color on our results, starting with the full year. Revenue was $63.5 billion, up 12%. Non-GAAP operating profit was $5.8 billion, up 42%. We grew non-GAAP EPS even faster, up 66% to $3.79. This continues our trend of growing non-GAAP EPS every year since separation. Our $4.2 billion of free cash flow was consistent with our full year guidance and adjusting for the net Oracle litigation proceeds and we returned a record $7.2 billion to shareholders. That’s a 172% of free cash flow. What’s especially important to note is how well balanced our performance is. We are growing our top and bottom-line. We are returning capital to shareholders and investing in the business. We are accelerating new growth businesses and driving efficiencies. This reflects the company geared towards both short and long-term value creation as we enter a new period of growth for HP. This is supported by our Q4 numbers. Net revenue was $16.7 billion in the quarter, up 9% nominally and 7% in constant currency. Regionally, in constant currency: Americas declined 4%, EMEA increased 15% and APJ increased 18%. As Enrique mentioned, supply chain constraints continue to impact both Print and Personal Systems revenue and this was particularly impactful to our print hardware results this quarter. That said, demand remain strong as hybrid work creates sustained tailwinds. Gross margin was 19.6% in the quarter, up 2 points year-on-year. The increase was primarily driven by continued favorable pricing including currency, partially offset by higher costs. Non-GAAP operating expenses were $1.9 billion or 11.5% of revenue. The increase in operating expenses was primarily driven by increased investments in go-to-market and innovation. Non-GAAP operating profit was $1.3 billion, up 28% and non-GAAP net OI&E expense was $64 million for the quarter. Non-GAAP diluted net earnings per share increased $0.32, up 52% to $0.94 with a diluted share count of approximately 1.1 billion shares. Non-GAAP diluted net earnings per share excludes Oracle litigation gains, defined benefit plan settlement gains, non-operating retirement related credits, partially offset by restructuring and other charges, amortization of intangibles, acquisition-related charges, other tax adjustments. As a result, Q4 GAAP diluted net earnings per share was $2.71. Now, let’s turn to segment performance. In Q4, Personal Systems revenue was $11.8 billion, up 13% year-on-year. Total units were down 9% given the expected supply chain challenges and lower chrome mix. The fact we still grew revenue double digits in this environment reflected the strength of demand and positive impact of our big shift towards mainstream and premium commercial. Drilling into the details, consumer revenue was down 3% and commercial was up 25%. By product category, revenue was up 13% for notebooks, 11% for desktops and 39% for workstations. We also continue to drive double-digit growth across peripherals and services. Personal Systems delivered $764 billion in operating profit with operating margins of 6.5%. Our margin improved 1.4 points, primarily due to continued favorable pricing, product mix and currency, partially offset by higher cost including commodity costs and investments in innovation and go-to-market. In Print, our results reflected continued focus on execution and the strength of our portfolio as we navigated the supply chain environment. Q4 total print revenue was $4.9 billion, up 1%, driven by favorable pricing in hardware and growth in services, partially offset by a decline in supplies. Total hardware units declined 26% due to consumer replenishment last year in Q4 and increased manufacturing and component constraints. We expect these print hardware constraints to extend at least into the first half of 2022. By customer segment, consumer revenue was down 6%, with units down 28%. Commercial revenue grew 19%, with units down 12%. Consumer demand remained solid. However, revenue across both home and office was constrained by the current supply and factory environment. The commercial recovery should further progress with a double-digit hardware revenue growth with triple-digit increases in Industrial printing hardware. We expect to see a continued gradual and uneven recovery in commercial extending into FY ’22. Supplies revenue was $3.1 billion, declining 2% year-on-year, driven primarily by prior year channel inventory replenishment. We also saw steady normalization of ink and toner mix, partially offset by favorable pricing. We saw continued momentum in our contractual business. As we discussed at our Analyst Day, this is a key part of our broader services strategy. Instant ink delivered double-digit increases in both cumulative subscriber growth in revenue. We also drove growth in managed print services revenue and total contract value with strength in both renewals and new TCV bookings. Print operating profit increased $117 million to [$813 million] [ph] and operating margins were 17%. Operating margin grew 2.2 points, driven primarily by favorable pricing and improved performance in industrial including graphics 3D, partially offset by unfavorable mix at higher cost including commodity costs and investments in innovation and go-to-market. Now let me turn to our transformation efforts. As we completed the second year of our cost savings program, we have now delivered more than 80% of our $1.2 billion gross run rate structural cost reduction plan and we continue to look at new cost savings opportunities. Transformation is not only about cost savings, but about also creating new capabilities and long-term value creation. One example. I’d like to highlight is our ongoing digital transformation. By leveraging our new digital platforms, we are enhancing our capabilities and transforming the way we operate to deliver new solutions to our customers. With this capability, we recently launched Wolf Pro Security, a new subscription service that enables customers to digitally manage their software on an annual subscription basis. The structural cost savings with our transformation efforts are enabling us to invest in these types of strategic growth drivers and we see many more opportunities like this to drive business enablement through additional software services and solutions offerings. Let me now move to cash flow and capital allocation. Q4 cash flow from operations was $2.8 billion and free cash flow was $0.9 billion after the additional adjustment for the net Oracle litigation proceeds of $1.8 billion. The cash conversion cycle was minus 25 days in the quarter. This deteriorated 4 days sequentially as lower days payable outstanding and higher days sales outstanding was only partially offset by the decrease in days of inventory. For the quarter, we returned a total of $2 billion to shareholders, which represented 210% of free cash flow. This included $1.75 billion in share repurchases and $219 million in cash dividends. For FY ’21, we returned a record $7.2 billion to shareholders or a 170% of free cash flow. Looking ahead to FY ’22, we expect to continue aggressively buying back shares at elevated levels of at least $4 billion. Our share repurchase program, combined with our recently increased annual dividend of a $1 per share, has us on track to exceed our $16 billion return of capital target set in our value creation plan. Looking forward to Q1 and FY ’22, we continue to navigate supply availability, logistics constraints, pricing dynamics and the pace of the economic recovery. In particular, keep the following in mind related to our Q1 and overall fiscal 2022 financial outlook. For Personal Systems, we continue to see strong demand for our PCs, particularly in commercial, as well as favorable pricing. We expect solid PS revenue growth to continue into fiscal ’22 with the shift to higher growth categories, including commercial, premium and peripherals. We expect PS margins to be toward the high-end of our 5% to 7% long-term range. In Print, we expect solid demand in consumer, a continued normalization in mix as commercial gradually improves through 2022 and disciplined cost management. We expect Print margins to be towards the high end, about 16% to 18% long-term range. For Personal Systems, we expect the component shortages, as well as manufacturing port and transit disruptions will continue to constrain revenue due to the ongoing pandemic in many parts of the world. In Print, we expect similar, but more acute challenges, particularly with regard to factory disruptions and component shortages. We expect these challenges across PS and Print to persist at least through the first half of 2022. Furthermore, normal sequential seasonality doesn’t apply for FY ’22 and we expect our revenue performance to be more linear by quarter, particularly driven by PS. In addition, we expect a slight headwind year-on-year, approximately $20 million per quarter from corporate Investments and other. Taking these considerations into account, we are providing the following outlook; we expect growth quarter non-GAAP diluted net earnings per share to be in the range of $0.99 to $1.05 and first quarter GAAP diluted net earnings per share to be in the range of $0.92 to $0.98. We expect full year non-GAAP diluted net earnings per share to be in the range of $4.07 to $4.27 and FY ’22 GAAP diluted net earnings per share to be in the range of $3.86 to $4.06. For FY ’22, we expect free cash flow to be at least $4.5 billion. Overall, I feel very good about our performance and our outlook. I am confident in our ability to deliver consistent long-term sustainable growth and we look forward to taking your questions. So let me hand it back to the operator.
Operator: Thank you. And we will now begin the question-and-answer session. [Operator Instructions] The first question is from Amit Daryanani with Evercore.
Amit Daryanani: Thanks a lot. Good afternoon and congrats on a nice quarter. I guess my first question really is on the personal systems side, a very impressive, I think, reversal on the growth profile versus last quarter ago. It looks like it's heavily driven by ASP's. If my math is right, maybe ASPs are up close to 20%. So I'd love to understand, when I look at the ASP uplift, how much of that is just mix because you perhaps had less Chromebooks versus just apples-to-apples price increases? And then how should we think about the durability of that ASP increase as you go forward into the next fiscal year?
Enrique Lores: Hi, Amit, thank you for the question. Let me start and then Marie will provide more detail. So first of all, as you said, we are very pleased with the performance of the PC business this quarter. It is really a consequence of the strong demand that we continue to see, both across consumer, but especially in commercial and the way we have been managing both mix and pricing as you were saying. We have been very effectively managing both, driving the component that we have toward the categories where we saw the highest value for the company, which in general the commercial categories and the high end of the consumer side. And this has really been driving the performance that you saw. And now Marie will comment on pricing.
Marie Myers: Sure. Good afternoon, Amit. So, first of all, just to give you some context around ASP's, they're actually up 24% year-on-year and 17% Q-on-Q and what's driving that is really a combination of favorable pricing including some currency, but as you said there's that favorable mix into higher commercial, as well as even a mix shift inside commercial to both premium and mainstream. So we've got less low-end and that favorable mix shift within consumer. In terms of year-on-year, consumers up 11%, driven predominantly by pricing and commercial is up 31.7%, which is a combination of both mix and pricing. And as we've said earlier and I think in our Security Analyst Meeting, we do expect to see some of that favorable mix shift to continue into the following year as well.
Amit Daryanani: Perfect. And if I could just follow up, Enrique, I think everyone is sort of used to thinking as supply revenues go down, print margins will be under pressure. And certainly, I think what you're seeing right now, what you're guiding for more important in fiscal '22 would say even if supply start to decline margins should hold up in that 17% to 18% kind of range. So I'd love to get -- kind of get your perspective, what are the two or three big things, vectors that investors should think about that is enabling print margins to expand even as supplies revenues might be a little bit more down next year?
Enrique Lores: Thank you. And this is really consistent to what we -- the strategy that we started to execute two years ago, when we are driving the change of profitability from supplies more into hardware. And as we shared during Analyst Meeting, we have been making very good progress driving that strategy. We have increased the mix of products that includes supplies when customers buy them, what we call profit up from products. We have also increased the percentage of end-to-end systems, what we call now HP+. And we have also been driving a transition toward subscription and service-oriented businesses. That is also contributing very positively from a profitability perspective. So what you see happening is what we said two years ago we were going to drive. We have been making good progress and this makes us confident in the guide that we provided for fiscal year '22 in our Analyst Day and about the guidance we have provided today for Q1.
Marie Myers: Also just to keep in mind that I'm sure you know this that we're lapping some tough compares. So what we're really focused on is driving incremental OP dollars over time and driving more OP dollars outside of supply and it's exactly what Enrique said to really shifting the business model.
Operator: The next question is from Ananda Baruah with Loop Capital.
Ananda Baruah: Congrats on the strong results. Yes, just two if I could. Enrique, any new anecdotal you guys clearly continue to sound as net positive on demand as you did five weeks ago at the Analyst Day. But any new context over the last five weeks with regards to what you're seeing, customer conversations, conversion, anything like that you picked up over the last five weeks would be super helpful? And then I have a quick follow-up.
Enrique Lores: What we have seen is, I'm sorry to disappoint you is very consistent to what we discussed in our Analyst Day. We continue to see strong demand, especially from commercial customers and we share their office -- as companies are reopening offices, getting employees back to work, they're investing to improve their experiences and therefore they improve investing in PCs and invest in notebooks and desktops. We also are seeing strong consumer demand as the holiday season comes. We are seeing demand behaving as per plan, so no deviations from what we discussed a few weeks ago.
Marie Myers: We had a great quarter with backlog too. So our backlog still remains elevated.
Ananda Baruah: Yes. Thanks Marie for that. And then, I guess the follow-up is on the commercial side, any distinction to make what you're seeing between two enterprises small medium business, small medium business has been a good chunk of your business for a while. And so any distinction to make there between the center of demand between those two? Thanks.
Enrique Lores: I wouldn't make any big distinction. We see growth across the board, both for large enterprises and for SMBs. We have a very strong business in both areas and we see demand in the two customer segments, so no major deviations from that. Thank you.
Operator: The next question is from Toni Sacconaghi with Bernstein.
Toni Sacconaghi: Yes, thank you for taking the question. I was wondering if you could maybe just provide a little more detail on your backlog. I think last quarter you said that your backlog in PCs was about 13 weeks. Can you provide an update on that? And you mentioned that print, hardware was probably the most supply constrained. So, perhaps if you can dimension the backlog and how much it may have changed in the quarter? And then I have a follow-up, please.
Enrique Lores: So in terms of PC backlog, it remains at a very elevated level, Toni, very similar to where we were a quarter ago. So, no major changes. It continues to be similar to what you saw despite a quite a strong business that we have created this quarter. And then, in terms of print, you are correct, print hardware is where we have seen the major supply chain limitations, largely because of the factory lockdowns in many Southeast Asia countries, which is what we shared during the last week. So no news here. And part of this also elevated but is lower than what we have on PCs.
Toni Sacconaghi: Okay. And then just to follow-up, you talked about the strength in pricing. Prices were up 17% sequentially in PCs, yet your operating margins in PCs were the lowest they were all year. I know there were some incremental supply chain costs, but that kind of price leverage, why did you not see greater operating profit leverage? And then, somewhat related to that, I think you basically said we should sort of ignore traditional seasonality and kind of think of flattish growth throughout the year, but if you're actually going to make any progress in drawing down your backlog and demand remain strong, your seasonality actually should be above normal seasonality because demand is continuing at the same rate, but you're getting a tailwind from backlog ultimately if you're able to draw that down. So maybe you could just help provide some color on both of those things, potential inconsistencies and set me straight? Thank you.
Marie Myers: Yes. No worries, Toni, and good afternoon. So when I talk first about seasonality and I'd say that first out that we've seen that strength in the quarter in PS and we do expect that to continue into '22. So as a result, we do expect revenue linearity in the year to be more linear across the quarters and that's more so, Toni, than what we've seen in the last few years. So as sequential revenue growth in '22 is therefore going to be more consistent quarter-to-quarter. And I'll just reiterate like I did it I think at the San Meeting that we don't expect normal seasonality. And then, with respect to the PS operating margins in the quarter. The rate was actually down slightly quarter-on-quarter and that was just really due to you might recall the material change in estimate that we had back in Q3. And also you saw just the strength of the business that we actually had. So we did take the opportunity to make some one-time investments that we don't expect that they are probably going to repeat in in '22.
Operator: The next question is from Shannon Cross with Cross Research.
Shannon Cross: Thank you very much. Enrique, could you talk a bit about your peripherals initiative, and how -- what we should look for in terms of proof points, and what you've done internally to try to improve that business so that it can contribute in fiscal 2022? And then I've a follow-up. Thank you.
Enrique Lores: Sure. Thank you, Shannon. So as we said in our Analyst Day, peripherals is one of the five growth areas of the company, and we think that really is going to be contributing to the sustained growth that we expect to see in Personal Systems. We have done a lot of changes internally to manage the business better. We -- in the past, if you remember, we were calling it attach, and when you call our business attach, you don't put a best engineer, you don't put a investment that the business requires and you don't have the organizational focus, and we have changed all that. We have a dedicated organization to peripherals. We have put some of the strongest leaders in the company to drive that initiative. We are increasing internal investment. We are moving some of our best engineers to the Group, and we have also invested in organic in acquisitions as the acquisition we did with HyperX to reinforce our position in some specific area, like in the case of HyperX in peripherals for gaming. What you will see us doing in the future is to continue to invest in this space. We think we have a great opportunity to continue to grow going forward and we will be providing regular updates of the progress that we are going to see in that category going forward. And just to close, this quarter we have double-digit growth in this category. So we are really pleased with the growth in peripherals.
Shannon Cross: Okay. Thank you. And then I was wondering if you could give us an update on 3D printing, what kind of contribution you're seeing? I know you're not going to give a specific numbers, but where that's -- how that's going coming out of the pandemic and where you're seeing strong demand? Thank you.
Enrique Lores: Thank you. So let me cover 3D printing from two angles. First is after the pandemic, we are seeing very strong growth in what I would call the traditional 3D printing, basically selling printer, selling supplies and selling services around those, very strong growth we have seen really a pickup of demand. But also, we shared during our Investor Day that we have complemented that part of the business with the investment in three specific end-to-end, we call it applications or businesses where we think we have the opportunity of capturing more value, because we are not just selling the printers, we are designing the parts, and in some cases, we are also selling the parts to the consumers or to the end-users. And we shared in our Investor Day that we were working on molded fiber and sustainable packaging and on orthotics and on footwear, three areas where of businesses in the $8 billion to $12 billion, where we can really drive a strong disruption because we think 3D printing is really going to help us to grow and to transform those industries. So great progress, we are on track, this is what we discussed a few weeks ago. And during 2022, we will continue to provide updates on where we see this business going.
Operator: The next question is from Katy Huberty with Morgan Stanley.
Katy Huberty: Yes. Thank you. Good afternoon. There is a pretty wide dispersion in revenue growth across the regions this quarter with Americas down 4% and double-digit positive growth in EMEA and Asia-Pacific. What explains that dispersion, some of it is year-on-year comps, but that's not nearly all of it? Are prices passing through in different rates across the regions? Is there differences in how the distribution channels are rebuilding inventory coming out of the downturn, just any context around the pretty wide dispersion in geographic growth? And then I have a follow-up.
Enrique Lores: Yes, I think the dispersion is really driven by what -- how we've been prioritizing and where we have seen growth. If you think about a year ago, we saw very strong growth on the consumer business in North America. And as we have shared, we are now driving our business more towards higher premium categories mostly in commercial, and therefore, this has implications on the year-on-year comparison. This is really what is driving that delta, Katy.
Katy Huberty: Okay. And then as a follow-up maybe for Marie, inventory was a use of cash over the past year, it did come down in the fourth quarter. Should we assume that your balance sheet inventory gradually normalizes as you move through fiscal '22?
Marie Myers: Yes, no, we expect basically for our inventory levels to remain somewhat elevated while we're through this supply chain constrained environment. However, we do expect to moderate our components depending on the supply and the demand that we see around the components. But certainly as we look forward into the first half of '22, we still expect to see those levels somewhat elevated.
Enrique Lores: What you saw Katy is like, what we -- if we're seeing -- if we look at components where availability has improved with the need to maintain those levels of inventory and there we -- therefore we are correcting that. But as Marie was saying, since we expect to continue to be in a supply constrained environment at least through the first half, inventory will stay at high levels.
Operator: The next question is from Samik Chatterjee with JPMorgan.
Angela Chan: Hi. This is Angela Chan on for Samik Chatterjee. Just had one question, wanted to dig in a little into the margin here. I think someone mentioned earlier that you had 17% price increase in PCs, and so just thinking about moving forward assuming you have for a favorable pricing into fiscal year '22 and that the supply situation at least starts to, seems to be stabilizing or may be easing a bit, should we expect to see margin for to remain at that elevated level even beyond your first quarter guidance?
Marie Myers: Yes, no, sure, and good afternoon. So we are very much on track towards the high end of our long-term SAM range which we gave at our Analyst Day for PS. So we continue to see that strong demand for our PCs, particularly in commercial and we expect to see that favorable pricing as well, and that's how we think about our guide for Q1. I would just add, I think I mentioned to Toni that we were down slightly Q-on-Q and that was really driven by the material change in estimate we had last quarter. But going forward, we absolutely expect our PS margins to continue to be at the high end of our long-term range.
Enrique Lores: And just a brief reminder, we increased our long-term range a few weeks ago. So what we are saying is we are going to stay at the high end of the new ranges that we just provided.
Angela Chan: Great. Thank you.
Operator: The next question is from Sidney Ho with Deutsche Bank.
Sidney Ho: Hi, thanks for taking my question. I got two questions. First one is you mentioned your backlog is staying at elevated level, now that you have another quarter of serving this dynamics, can you talk about how you monitor to make sure that orders are real, and how confident are you that once supply constraints start to ease you don't see a sharp decline in -- sharp increase in cancellation rate or decline in this backlog? And I have a follow-up.
Enrique Lores: Yes, thank you. So, as we have shared in the past, this is really something that we pay a lot of attention to, and we constantly monitor all the orders that we get, the quality of the orders and what cancellations are happening. And as we have shared before, the percentage of cancellations is very, very slow -- is very, very small. So we have not seen any cancellations. Also as we look at the competition of the backlog, the majority of the backlog now is coming from commercial customers, given that this is where we continue to see the stronger demand. Usually, there is an end user or in many cases, it is an end-user associated with our backlog, so it means the probabilities of double booking or cancellations even lower. But we rest assured, this is something we monitor constantly and we don't see any cancellations. Now, of course, our goal is to over time to reduce the amount of backlog that we have because -- and we expect that, that supply will get normalized during the next quarter, we will be reducing the amount of backlog that we have.
Sidney Ho: Great. That's helpful. Maybe my follow-up question is on the free cash flow for fiscal '22 of more than $4.5 billion, how should we think about the profile of that going to look like as we go through the year, typically you see the lowest free cash flow in fiscal second quarter and highest in fiscal third quarter, but this year could be different, but any other factors we should be thinking about? And kind of related to that, how may that change the amount of share buyback as we go through the year? Thanks.
Marie Myers: Yes, so maybe I'll hit up cash flow and then we'll go to the buyback. So, first of all, we guide cash flow on an annual basis. And as we mentioned at SAM, we're confident in our guide of at least $4.5 billion. A couple of things to bear in mind, obviously cash flows driven by revenue and operating profit growth, and then secondly, I think we did comment that we did expect to see some favorable working capital as we start to see those inventory levels potentially moderate in the second half. So that's how we're thinking about, we've built that all into our guide basically in terms of free cash flow. With respect to our buybacks, we remain committed to repurchase at least 4 billion of our shares, and as you probably recently saw at our Analyst reports, Analyst meeting as well, we're expecting to pay out a dividend of $1 per share. So I think really a meaningful plan there with respect to our buybacks starting to return of capital to our shareholders.
Operator: The next question is from David Vogt with UBS.
David Vogt: Great. Thank you for taking my question. I just have one question, it's more of a financial philosophical question. And trying to think through your long-term financial framework that sort of underpins the high single-digit EPS growth that you laid out at SAM, and if I just take sort of your framework at face value as operating profit grows and your dividend grows along with up profit and/or earnings, what are sort of the parameters that you're using to think about the buyback in terms of how much you want to use, because as the stock appreciates, and let's say the multiple expansion you no longer quote-unquote undervalued or maybe even less value, I would imagine that you might ratchet down or maybe pull back on the buyback, and that seems to be a pretty important part of the longer-term EPS growth that you've laid out at the SAM. So just want to get a bit of an understanding how you're thinking about it over the longer-term? Thanks.
Marie Myers: Yes, maybe I'll just start out by commenting firstly that our FY22 guidance is a combination of both operational flow-through and the results of share buyback. Now addressing your question specifically about how we're sitting, thinking about your philosophical question around the buybacks, look I would just say that we're absolutely committed to the capital allocation strategy that we've outlined at SAM, and those ingredients, nothing has changed there and a big part of that is our return of capital to shareholders. So we're on track to continue to buy back shares at elevated levels of at least 4 billion. And in fact, I think we're going to surpass what we said we do back at our value plan of at least $16 billion. So that's how we're thinking about it, and our commitment really hasn't changed.
Enrique Lores: And maybe to complement a little what Marie was saying. What we have committed is that we will be returning, and I'm talking about the long-term, 100% of free cash flow unless other better opportunities arise, and we have also committed to increase our leverage ratio to two points, and we will be doing this over time. So both will be sources of cash that we will be using to return capital to shareholders or potentially to M&A, if we -- if M&A would bring better returns.
David Vogt: Great. Maybe just as a quick follow-up, Enrique. So does that imply that the dividend effectively a sort of -- a sort of marching in lockstep with sort of earnings growth and then the flexible use of cash flow between M&A will be -- the cash flow will be between M&A and buybacks over the longer-term?
Enrique Lores: I believe, while we believe that the shares are undervalued, and this is clearly the situation today, so this is what you should expect us to do, thinking at least while we see that delta.
Operator: The next question is from Wamsi Mohan with Bank of America.
Wamsi Mohan: Hi. Yes, thank you. In your prepared commentary, Enrique, you mentioned that M&A -- you also called out M&A as an important lever, and I was curious, just given the strong cash flow, free cash flow that you would be generating plus the payment from Oracle, you have a sizable warchest for M&A. So any sizing parameters, anything that you can share with us, and what you're looking, should we expect similar to what you've done here in the recent past or something larger?
Enrique Lores: Yes, so let me kind of remind what we have been discussing during the last weeks. First is, we have shared that M&A is an important part of our plan. Second, we have identified five key growth areas for the company, where we think M&A could help us to grow profitably at a faster way and that we are scanning opportunities to do that. At the same time, we have also said that we are going to be very rigorous stewards of capital that any opportunity we would take versus the strategy, versus the operational ability that we need to have to deliver on the financial goals, and then, of course, we need to have attractive returns, whether to return the buyback shares, which is a fairly high threshold given that we believe that shares are undervalued. In terms of specific side, I don't think we have any -- we haven't made any commitment on -- commitments on that space. They really need to deliver strong financial results and based -- and that be aligned with their strategies. But we are not going to do anything different because of the Oracle cash that we got. We are going to continue to manage capital with the framework that we have been discussing until now and with the same rigor.
Wamsi Mohan: Okay, thanks, Enrique. If I could follow up, a few people have asked about the ASP and the sustainability, and clearly you talk about strong demand backlog and this ASP strength to sustain in fiscal '22. But if I could ask it maybe a little differently, how much of this ASP increase would you attribute to the tightness in the market, which is driving favorable pricing versus potentially as supply improves over the course of the next few quarters, do you still anticipate the mix can drive these sort of elevated levels of ASP growth? Thank you.
Enrique Lores: Yes, I think the key thing really is what is going to be the gross margin that we will be delivering or the operating profit margin. And as Marie was saying, we increased our guidance a few weeks ago and we expect to continue to be at the high end of the range through 2022. What we think will happen is eventually the price favorability will reduce as volumes will increase, but as volumes will increase, we will also see additional business. So one will compensate the other. So we will stay within the high end of the range through 2022.
Marie Myers: And I'd just add, we are still in that, it's a bit like the laws of economics while you're in a supply constrained environment, favorable pricing really persist, but in addition, demand is strong. So together, that really contributes to what we've seen in terms of this favorable pricing dynamic, which we do expect will continue through '22, but we do expect some normalization as the year goes on as well.
Operator: The next question is from Aaron Rakers with Wells Fargo.
Jake Arbon: Hi, this is Jake on for Aaron. Congrats on the great quarter. Just really quick, I was wondering if you could talk a little bit more about what you're seeing in the graphics market and then kind of just how you're thinking about that business heading into 2022?
Enrique Lores: Yes. So we are seeing a strong recovery of the overall industrial graphics business, mostly driven for the -- by the more industrial side driven by label and packaging. We have seen nice growth in Q4 and we expect to see very nice growth in 2022. So really good progress and really a contributor of growth for the company in 2022.
Jake Arbon: And just as kind of a follow-up on to that. Is that a market you guys would be targeting for M&A with just how fragmented it is, is that something you're focused on?
Enrique Lores: Well, we have a very strong portfolio in that category that is a combination of both internal development of M&A that we have done over the years. We have done several acquisitions in that space, both in printing technologies and also in software, and we have identified this as one of the key five growth areas of the company. And as I said, M&A is part of our plan, we expect to continue to do that in 2022. And as we also shared, we have room to do that, while at the same time, we return aggressive capital to shareholders through both share repurchases and dividends. And as I said before, over time, we will be increasing our ratio to 1.5 to 2, which will be also another source of capital.
Jake Arbon: Great. Thank you.
Enrique Lores: And I think it's now time to wrap up. So let me close the call by saying that we really feel strong about the quarter that we have, it's a great proof point of the ability that we have to deliver value to our shareholders and shows the strong momentum that we have entered in fiscal year '22. And this is why we provided the guide that we provided for Q1 that shows the things that we see in our business. So, thank you everybody for the call today. And we wish all of you a great Thanksgiving with your families. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.